Operator: Greetings, and welcome to the Vermilion Energy Inc. Second Quarter Release Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. 
 It is now my pleasure to introduce your host, Lorenzo Donadeo, President and CEO for Vermilion Energy. Thank you. Mr. Donadeo, you may begin. 
Lorenzo Donadeo: Thank you, operator. Good morning, ladies and gentlemen, and thank you for joining us today to discuss our second quarter 2012 financial and operating results. I'm Lorenzo Donadeo, President and CEO of Vermilion. Joining me today are Tony Marino, Executive Vice President and Chief Operating Officer; Curtis Hicks, Executive Vice President and CFO; and Dean Morrison, our Director of Investor Relations.
 Earlier this morning, we released our second quarter 2012 financial and operating results, reporting production of 39,168 BOEs a day. While second quarter production was essentially flat with the previous quarter, it has increased more than 11% since the second quarter of 2011. This increase is largely the result of higher volumes from Vermilion Cardium development program and the company's acquisition of approximately 2,200 BOEs a day of largely Brent crude base production in France, which we completed in January 2012. 
 With our continued focus on predominantly crude-based production growth, we've successfully grown our oil and liquids exposure to nearly 60% of our -- 67% of our consolidated production, most notably in Canada where oil and liquid now account for 57% of average production as compared to 42% in the second quarter of 2011. Combined with our Netherlands natural gas production, which is priced off a basket of primarily Brent-based heating and fuel oil products, our production volumes are approximately 82% weighted to crude-based pricing. 
 Funds flow from operations for the second quarter were $128 million, $1.30 per share, as compared to $151 million, or $1.56 per share, in the prior quarter and $119 million, or $1.32 per share, in the second quarter of 2011. The decrease in funds flow from the first quarter 2012 reflects a nearly 12% reduction in our weighted average realized price due to the 9% decrease in both the West Texas intermediate and Dated Brent crude reference prices and a 12% decrease in Canadian natural gas reference prices over the quarter. 
 We also saw a significant build during the second quarter of crude oil inventories in both Australia and France of approximately 320,000 barrels, which negatively impacted funds flows by approximately $14 million or $0.14 per share. This inventory build was mainly due to the timing of vessel loadings and is anticipated to be sold down to more normalized levels in subsequent quarters. 
 As noted in our press release, we continue to experience better-than-expected operational performance across all of our key operating medians providing significant flexibility in the management of our operations. As a result, we currently plan to temporarily shut in approximately 6 million cubic feet a day, so that's about 1,000 BOEs a day of low profitability Canadian natural gas volumes during the second quarter -- pardon me, the second half of 2012, reducing our exposure to North American natural gas to approximately 15% of consolidated production. 
 We expect to bring this production back on stream later in the year to meet certain lessee obligations and in anticipation of potentially higher seasonal pricing. We're taking this step to further improve the profitability of our business in light of the current weakness in natural gas prices in Canada. Despite this planned shut-in of approximately 15% of our Canadian natural gas production, for most of the second half, we still anticipate achieving average 2012 production volumes towards the middle or upper end of current guidance of between 37,000 and 38,000 BOEs a day. 
 We also continue to benefit from our significant exposure to Brent-based crude oil and European natural gas production. Our Brent-based crude oil volumes represent approximately 43% of consolidated production or 69% of total crude production and currently, receive a premium on average to the quoted Dated Brent reference price. This has been particularly advantageous given the challenged market for the Canadian-based crude production year-to-date in 2012. When current differentials for Canadian-based crudes versus WTI are taken into account, our exposure to Brent-based crude production has provided us with an average of USD 25 to USD 40 per barrel advantage year-to-date relative to our Canadian-based peers. 
 We further benefited from our exposure to Netherland's natural gas production, representing approximately 15% of consolidated production as pricing in the region has remained strong and is expected to average between $9.50 and $10 per MCF in 2012. This compares to average AECO index pricing for Canadian-based natural gas production of $2.02, $2.02 per MCF during the first half of 2012. So that's about a $7.50 to $8 higher price for our Netherland's gas compared to what we're getting here in Canada, which is quite significant. 
 The current strip pricing points to a continued premium for Brent-based crudes of $10 to $20 per barrel in 2013, reflecting current infrastructure and demand constraints on the North American market. This positions Vermilion strongly relative to our Canadian peers who are faced with significant exposure to weak North American natural gas prices and a continuing discount for Canadian-based crude products relative to WTI. 
 Also today, we reported on some of the progress that we've made with respect to our New Growth Initiative. As part of that initiative, we've invested a cumulative $84 million to acquire undeveloped lands in Canada with prospective exposure to emerging shale oil and liquids rich gas resource plays. Including a recent purchase of crown land subsequent to the second quarter 2012, we have actively acquired a total of 408.5 net sections of undeveloped land in Canada. As a result of these acquisitions, the company now holds several large and continuous land blocks with prospective exposure to emerging resource plays in Canada, including 220 net sections on the Duvernay trend in the Greater Edson area. This is a trend that's gaining a lot of traction in the industry. You're starting to see a lot more activity by companies like Celtic, Trilogy, Encana and there's a lot of information that's going to be coming out over the next several quarters. I think, it's really pointing to this play being a very interesting and exciting play. And so we're happy to be part of it and have such a dominant position in that play. So we plan to continue our current appraisal of the Duvernay as part of our 2012 and 2013 capital programs. 
 In addition, we currently have several initiatives underway that, if successful, could substantially increase our company's current exposure to further opportunity in both Canada and internationally. Vermilion's current international initiatives include the pursuit of multiple low-cost material land positions through direct grants from regulatory authorities with minimal upfront entry costs and only modest work commitments. 
 Moving forward, we will continue to balance our spending to drive near-term growth with an appropriate level of incremental capital to capture and progress large organic resource opportunities in Canada, Europe and Australia, which will be key in positioning the company for longer term growth. 
 Net debt at the end of the second quarter was $525 million, reflecting the inclusion of the $135 million U.S. final payment for Corrib due in December as a current liability. Net debt to annualized year-to-date fund flows from operations was approximately 0.9x, and that compares to probably the sector average right now. It's somewhere in the range of maybe 2.1x to 2.5x. So significantly under levered relative to our peer group. And our balance sheet remains strong in support of our growth initiatives with approximately $712 million of borrowing capacity remaining at the end of the second quarter. 
 Based on our continued success, the bulk of Canadian operational activities will remain focused on the full-scale development and optimization of our light oil Cardium play in Western Canada. We currently anticipate the drilling of approximately 40 net Cardium wells during 2012. While we will continue to defer development of our conventional liquids rich natural gas positions in Canada in the near term, we will continue to work the prospects and add to the inventory where possible as we drive toward delineation and possible development of this conventional play towards the latter half of our current 5-year plan. 
 In the Netherlands, we've completed the time of production from the De Hoeve-1 well that was drilled in 2009 and have recently completed drilling of the first well of the 2-well drilling program for 2012. We're currently evaluating test results at this time on the Vinkega-1 well -- the Vinkega-2 well. And results look quite encouraging and we'll be able to say more as we get more definitive results and we anticipate spud of the second well later in the third quarter. Should we be successful, we expect to bring on related production volumes during the first half of 2013. 
 In addition, we continue to advance our efforts on permitting for future 3 to 5 well drilling programs in the Netherlands each year for the foreseeable future. 
 In France, an active 2012 work over and recompletion program during the second half of the year is anticipated to keep production volumes relatively stable in the region. In addition, our team will begin to work on planning to achieve targeted optimization and cost-reduction opportunities that have been identified with respect to the recently-acquired assets. In Australia, preparations and permitting for a 2 to 3 well drilling program for 2012 are being finalized, a rig contract has been signed and we currently anticipate commencing this program late in 2012. 
 It's also been a transformative year for our Corrib project in Ireland with the partners now in receipt of all key regulatory approvals required for construction of the onshore pipeline and all open periods for appeal of the regulatory approvals now expired with no open appeals outstanding. The tunnel boring machine has recently arrived on site at the Argus facility [ph], where it will be assembled in anticipation of initiating tunneling activities during the fourth quarter. And I think, we've actually -- I think, have 2/3 of the tunnel bore machine there and we anticipate the third one shortly. The tunneling and commissioning of the onshore pipeline and related facilities and equipment is anticipated to take approximately 2 years from initiation of tunneling with initial production at Corrib expected to occur in late 2014. 
 Vermilion has a rich portfolio of opportunities and we remain confident of our ability to deliver continued growth to 50,000 BOEs per day through 2015 with the current asset base. We also continue to work to position the company for further growth during the second half of this decade and remain focused on supplementing our existing portfolio with additional opportunities capable of delivering on our long-term strategic goal to provide a balanced and continued stream of income and growth to shareholders. We have the financial strength and capital structure to enable us to take action today to position our company and our shareholders for tomorrow. 
 To June 30, 2012, our shares -- our share price has remained solid and Vermilion has generated a positive total return to investors of 3.8% versus a peer average of negative 24%. Despite considerable uncertainties in the current market, we remain committed to not only providing shareholders with a stable and reliable dividend but to growing that dividend over time as we continue to provide continued production and cash flow growth. 
 Our management, directors and employees remain well aligned with and strongly invested alongside our shareholders. Regarding our management team, as you're aware, Tony Marino has now been with Vermilion as our Executive Vice President and Chief Operating Officer for about 2 months. He has brought with him his proven track record of creating significant value and -- to Vermilion. He's assimilating well into our organization and is already contributing in a positive way to improve our operational efficiency and expand our opportunity base. 
 With Tony's addition, together with our strong existing Vermilion management team, our strong capital structure, our growing asset base and future New Growth resource opportunities, we are positioned well to continue to deliver a growing dividend and strong returns to our shareholders over the next decade. 
 So with that, I will conclude my formal remarks, and, operator, please open the floor to questions. 
Operator: [Operator Instructions] Our first question comes from the line of Greg Pardy with RBC Capital Markets. 
Greg Pardy: So I'll hit you with 3. The nagging question around the inventory reversals, just curious as to how much of that you think might reverse as we go into the third quarter? And then more operationally, interested in what your plans are in the Duvernay and in the Cardium, particularly how big of a program you'd expect to have in 2013. And then the last point is, I know you get to 50,000 just with the existing asset base. Is your inclination then to get deeper within countries that you're in now or is it a possibility you may add another country as we go over the next 12, 18 months? 
Lorenzo Donadeo: Thanks, Greg. So I'll maybe let Curtis speak to the inventory reversals, we'll get Tony to speak to the Duvernay and the Cardium and I'll maybe give a bit of color on the -- on our asset base. 
Curtis Hicks: Greg, what we would expect the inventory builds that we saw, that inventory will essentially get sold in the third quarter. We do expect in -- right now, we're forecasting a total draw of our June 30 inventory, about 60,000 barrels each of Australia and France. Again, those numbers could change. It all depends on the timing of vessels showing up and taking that inventory to market. But that's the current expectation for Q3. 
Anthony Marino: Okay. So, Greg, with respect to the Duvernay, our current activity is that we're -- we have a vertical test well that we've deepened in the Edson area, and we're conducting injection tests to try to get some of the reservoir properties and to get some flow samples to help us determine the liquid yield in that area. So that's the current activity. With respect to what we might do in 2013, it's really, first of all, too early to say. We'll have a board-approved budget later this year and we'll be able to disclose it that time what our plans are. I would point out that we're going to be able to be very judicious, parsimonious in the spending what we do as we move the Duvernay along because first of all, we have very strong land tenure having just acquired these lands. Secondly, there's going to be, I think, as Lorenzo mentioned in the opening section, there's going to be a lot of industry data that is going to be made public all up and down the broader Duvernay trend. And of course, we want to take maximum advantage of that as a way of just having the most capital-efficient program, taking advantage of capital that other companies have spent, because this play is de-risked and has development techniques are refined for the Duvernay. So it's hard to say what next year's program will be, but we will continue our evaluation of the play. With respect to the Cardium, again, we don't have a 2013 board-approved budget. We're in the midst of our budgeting and planning process. I think we'll continue to run an aggressive Cardium development program. We've got a very large amount of land. In my view, it's really the highest quality extensive Cardium land base in the entire play and that will give us multiple years of high-quality development and continued growth. That growth is able to use the infrastructure that we've installed so we can -- we'll not only have good well results, but we've got advantages in our capital efficiency because of the infrastructure that we put in place. But again, can't identify the size of the program yet because we're in the midst of our budgeting. 
Greg Pardy: Okay. And, Tony, just with respect to the program you have now, any sense as to where you might either exit 2012 or start to -- the levels you might start to reach as you get into the first quarter? 
Anthony Marino: We don't really guide to an exit number. I mean, really with respect to production guidance, I think I would just revert to what we've said, that all of the business units in the company are performing very well. In fact, performing better than we had forecasted. We think we'll be in the mid- to the upper-end of our production guidance range and that's despite having taken off a significant amount of Canadian natural gas volumes just in view of the pretty low price environment we have right now. And then I'll probably just leave our production guidance at that, at the company level. 
Lorenzo Donadeo: And, I guess, finally, the question about other areas that we may look at. There's sort of 2 components to that, both on the M&A side and then on our New Growth Initiatives. On the M&A side, we're going to be pretty opportunistic there. Really, we're looking for opportunities that are value-driven opportunities. They'll be incremental to our current business plan. And with the M&A, we're currently focused in our core areas -- or core regions, sort of in Canada, the broader European area as well as, I'll call it, Australasia. We are looking at maybe one other area to see if it makes sense but we really haven't made any decisions yet. So that's sort of the M&A side. And then on the New Growth side. Really, this is focused on -- in our core area, so in Canada, sort of broader European area, in Australia. The strategy, the way we term it is called the low-cost early entry. So it's really a land capture opportunity where we're capturing -- trying to capture large blocks of land that are sort of in the million acre range. If the play works, we're targeting play sizes that are in excess of 200 million barrels and higher than that BOEs. And so we're in the early parts of that. We're having some encouraging initial results of our discussion and we're optimistic that we're going to be able to add to our unconventional resource plays in those areas over the next several months. 
Operator: Our next question comes from the line of Eric Kasel [ph] with CCI [ph]. 
Unknown Analyst: I just had a flip-sided question about France. Can you talk a little bit about the taxes? Do they affect you at all? And just the general atmosphere with the new change in president. 
Curtis Hicks: Yes, Eric, the taxes do impact us to the extent there's been no change to date. There's some discussions ongoing, some potential proposed legislative changes. If they are approved and legislated in, then certainly, there will be an increase in tax stake on Vermilion. Our initial assessment is it's not significant, it's not going to change the way we do business in France and overall, to the company, not hugely material. 
Unknown Analyst: Okay. So second question is, you mentioned you're going to do some additional drilling in Australia. Will that like in prior years significantly decrease production for a short period of time while you do the drilling? 
Lorenzo Donadeo: No, I don't think it's going to have a significant impact on production during the drilling phase. There may be some minor impacts. The wells themselves, the whole program takes about 60 days. And since the completion activities, once the wells are drilled and lined, are quite brief, those wells should be able to come on production shortly after we demobilize the jack-up. 
Operator: Our next question comes from the line of Cristina Lopez with Macquarie. 
Cristina Lopez: Just a quick question on the Netherlands. Given the success you've have to date, or potential success, what are your capacity constraints there with facilities and what is -- is there sort of a key production level that you can reach in the Netherlands? And second to that, when looking potentially at Europe for resource play and resource play capture, are you focused more on natural gas in Europe or are you focused on both crude and natural gas, obviously, knowing that you have the Lias Shale oil already? 
Lorenzo Donadeo: On the resource plays, we're primarily focused on natural gas. But you're right, I mean, we've got a material position in a world-class shale oil play in France. And what's encouraging about that, it's early days, but we have the Minister of Industry from France that has made a commented in the press that the frac -- the current -- the temporary frac band is something that he wants to review because, I think, they see it as a way to perhaps add to the unemployment problem -- or help satisfy some of the unemployment issues in France right now. So we're encouraged there but it's still a little bit early days. But you're right, the focus is primarily gas and in some areas in, for example, in Australia, we're focused more on liquids-rich gas. So on the first question, I'll maybe pass it on to Tony regarding Netherlands. 
Anthony Marino: Okay, in the Netherlands program. So as you know, the well productivity is -- on a new well there tends to be quite good. In some cases, some of the wells that we've been able to tie in -- and we haven't disclosed test results yet on this most recent drill at Vinkega-2, but -- and in some cases, we do have some gathering limitations. And -- but what I can tell you about that is that we're looking at those bottlenecks that exist now and we could have some CapEx projects to increase that gathering capacity that would have a positive impact on the Netherlands rates next year. That is a possibility and that's something we're evaluating. 
Operator: [Operator Instructions] Our next question comes from the line of Gordon Tait with BMO Capital Markets. 
Gordon Tait: I was wondering just given where you're spending and where you're not spending, would you look at almost exiting your conventional gas production in Canada? Either just letting it -- like just not investing in it and let it kind of blow down, or would you sell it? It certainly doesn't look like it competes with the other projects you have. 
Lorenzo Donadeo: No, it doesn't. I mean, we've got some pretty strong projects that we're currently developing with our Cardium oil, our Netherland's Gas, Australia oil. But there are some projects there that we've got that we've just kept in inventory, our liquids-rich gas as we've touched to in our presentation -- in our discussions earlier. The liquids-rich gas, we've got some pretty interesting plays there that are economic even in -- under the current gas price. So we're actually happy with portions of our natural gas conventional portfolio. The parts, the dry gas piece like the CBM and some of those, it's a smaller part of our overall business. I don't know if it's wise to be trying to sell those assets in this market, because the market seems to be up awfully flooded. And we're happy, they're good long life reserves. And so we're happy to hold on to those and hopefully wait for a bit of a resurgence in gas prices over the next several years. But what's nice is that we can be patient. You're right, we're not investing capital in the dry gas side and we have better opportunities in some of our oil plays. But the liquids-rich gas, we do have plans to develop that over -- later on in our 5-year business plan. And then, I think, with success in the Duvernay, in the liquids-rich window there, that would be, obviously, a big part of our future growth beyond 2016. 
Gordon Tait: Okay. And then with the amount of drilling you've done in West Pembina, you had moderate increase in your Cardium volumes. What is the infrastructure situation there like? Is that something you're going to need to invest in as you bring on more oil? 
Lorenzo Donadeo: No. The battery is designed -- we originally designed it for 15,000 barrels a day and it was designed really to handle all of our development to the full lifecycle of that asset. And by being a bit of a first mover there, it actually -- we positioned ourselves to be the dominant player in that area. And so we've got now a lot of third parties that come through that facility and we're generating third-party processing revenue that's in excess of $7 million to $8 million a year. So that facility will be paid out just with the third-party processing revenues. And of course, we've got first call on that capacity and we see our volumes sort of ramping up to between 10,000 and 12,000 barrels a day and that fits in fine on the -- in terms of the existing infrastructure we have in place for the Cardium production. 
Operator: [Operator Instructions] Mr. Donadeo, there are no further questions at this time. I'd like to turn the floor back over to you for closing comments. 
Lorenzo Donadeo: Great. Well, thank you, operator, and thank you, everyone, for joining us this morning and for participating in our conference call. 
Operator: This does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation.